Operator: Good morning, ladies and gentlemen. Welcome to the Q1 2018 Results Call for the ProSiebenSat.1 Media SE. This conference is being recorded. Today's call is hosted by Mr. Ralf Gierig. Please go ahead, sir.
Ralf Gierig: Good morning, ladies and gentlemen. Also a warm welcome from my side. We welcome you to our Q1 2018 Results Conference Call. Today's call is hosted by Conrad Albert, our CEO; and Jan Kemper, our CFO. Conrad and Jan will first lead you through our presentation which was made available on our webpage and via the provided download link. The presentation, as always, will be followed by a Q&A session. With this, I hand over to Conrad.
Conrad Albert: Good morning, ladies and gentlemen. Sorry for the delay. I was on the mute button for a little too long. This is Conrad Albert. Let me start with giving you an overview on Page 3, operational update for Q1 2018. As you can see here, we’ve started working at the beginning of the year with our new group setup. We’ve implemented our three pillar strategy, our three pure play setup as I may say, as per January of this year. TV ratings have seen a very nice and robust development. We are year-to-date, slightly above prior year by 0.4 percentage points in our channel family compared to last year and that’s especially a good news, as I think that in view as we had the Winter Olympics, the Champions League and other strong sports coverage, that’s we -- despite that have shown that ratings performance is very strong, especially if you take that in comparison to our competition. So we’re on a positive trend here, also by the way, year-to-date. TV advertising, positive development in Q1 as well. Also given the surrounding factors, I think that’s a very solid, reassuring sign. We have implemented our data strategy by founding netID, that’s the foundation that we created together with United Internet, RTLplus, and also VOX on board. We will go into that a little bit deeper later on. The distribution business, as always, let me say, a source of joy and satisfaction here as a couple of new distribution deals, especially in the satellite population and a continuing growth in HD subscribers. Red Arrow Studios, our global sales business has been significantly strengthened by recent acquisition of Gravitas, a large content distribution entity with a strong footprint in the U.S. and with NuCom Group, we’ve started now executing our growth strategy and our new partnership -- growth partnership, I may say, with General Atlantic as we have closed the transaction on April 4 of this year. Now moving ahead to Page 4, an overview on our key financials for Q1. On the revenues, it was EUR881 million. You can see that we report a slight decline by 3%. However, if you look at this from an organic and foreign exchange adjusted view, you would see a slight positive growth that is by the way driven by a strong TV advertising performance in Q1 that is ahead versus prior year by 2.5% adjusted EBITDA, up by 7% with EUR200 million and adjusted net income up by 6% to EUR93 million. As I said before and as you can see here on Page 5, we’ve implemented our new group setup with the entertainment pillar, The Red Arrow Studios for Content Production & G1obal Sales, and our NuCom Group, again the entertainment segment, the biggest part of these three setup is sort of one-stop shop as I always like to say, for everything that is about content, including all monetization models, free paid transaction and this basically embodies our wholesale -- our holistic and 360 degree approach to our content business. And what's always important to reiterate and make it clear that we should always look at facts and let us not be guided by this so much. TV continues to lead both in a reach and in viewing time, and you can see that here, here on Page 6, with television linear TV still remaining the superior and medium for mass reach consumption across all age groups of penetration or reach of still more than 90%. Whereas paid video-on-demand nonlinear, is obviously, I'd not neglect that on an increasing path, but still in the 30%, 35% range as it comes through to reach. So you can see here that we’re operating on a very strong reach basis still and it looks like this will be sustainable for quite a bit into the future. And the overall video usage here on the right hand side makes that even more transparent with still more than 220 minutes of linear TV consumption per day versus a couple of minutes, single-digit minute number for video-on-demand nonlinear consumption TV in our core market remains the lead and the key and the most important medium. And this is -- if we turn to Page 7, the company is buying ongoing panel upgrades that are to include online usage and that’s communicated to us by AGF. As you can see here, in last year in H2 2017, we’ve already implemented browser TV usage into the reach measurement and gradually catch up apps and so forth will be included into the AGF data as it was announced to us across or along the year 2018, and even the implementation integration of the YouTube usage will be part of the reach measurement development roadmap. On Page 8, let's have a look at the ratings development. Really as I said earlier, robust ratings, despite a strong counter programming by especially the public broadcasters in Q1, with the Winter Olympics with generally a lot of sports coverage. On a Q-by-Q comparison, we’ve seen a stable rating development. As I said earlier, if we look at it on a year-to-date basis, the current ratings development this past has been developing in a more positive way. Even I said year-to-date we are 0.4% ahead versus prior year, and that’s very much different from our competitors. Just a quick highlight also to Austria. The colleagues in Austria have supported our overall business with the new record market share and all-time highs for our PULS 4, and [indiscernible] channels in April amounting to 31.2% and that’s really a great achievement and that’s why I would like to point that out that it's complemented by PULS 4 of course by our Austria [indiscernible]. Also ATV, our recent acquisition in Austria is increasing its ratings on a continuous basis with now 4.1% in April. Now moving on, the German TV market as you can see here, we are -- we have increased our audience share leads versus our competitors in Cologne versus Q1 last year to now 1.1 percentage points. And that -- and I would really like to point that out its driven by stable ratings and solid performances of U.S. and local commission content. So in our view, the smart mix of our program grid is key. We will always have a strong foothold in U.S., but we will also -- and that has proven to be very positive in the first month of this year, develop our local program grid there. And as you can see on the following Page 10, U.S. license content continues to deliver solid TV ratings. Young Sheldon has started tremendously well on ProSienben in January, but also established long runners like The Big Bang Theory continue to deliver as well as feature films, blockbusters, for example, Deadpool with 15.3% on ProSienben. And here on Page 11, again you can see that also local commission formats have been -- have not only well established now a couple of new ones like Das Ding Des Jahres and Mord Mit Ansage or a format that we’ve revitalized on ProSieben late night show, Monday evening Late Night Berlin with Klaas Heufer-Umlauf, all of them performing really good and that on the basis of well running established formats like [indiscernible] our morning show that is now on really long-term continuous basis, the highest performing morning TV show in German television. And as you can see on the right hand side of the slide, a couple of new formats and renewed seasons of established formats are up in our slate funnel. Obviously, it's really important to note that TV is not only performing well with the audience, but also with our customers, with the advertisers and as you can see here on Page 12, TV remains the key for especially FMCG. FMCG is really seeing a nice rebound on year-on-year comparison. The only, let's say, downers are obviously automotive and we all know where this is coming from with the very challenging climate in the automotive industry, the car emissions fraud scandal, VW especially has been and I think it's not surprising for cutting gross spending across the board, and by this also in TV. Telecommunication is still showing the aftermath of certain consolidations that have taken place. Very nice, finance is developing increasingly well. The TV ad spend in Q1 in the finance segment is significantly -- was 31.7%, up above total media expense growth, and within this insurance segment, it's very strong. And it's interesting because traditional finance service companies apparently they need to accelerate their customer value creation in order to avoid losing customers to new startup fintech [ph] firms. And therefore, they need to do image campaigns and there is no better medium for that than television, of course. So the key takeaway here is FMCG, very strong, important development, very important for TV as a medium. And just a quick glance on what this means, or what we do with this on day-to-day operational basis, obviously, we continue to maximize reach across all platforms. If you see here, for example, a recent example from Q1, Germany's Next Top model not only performing very strong in the traditional TV rating, currency was 21.5%. We're essentially doubling its reach through digital as you can see here. So that's one really synergistic effect of our setup and I will show you in a second what this means in terms of monetization. Same thing or comparably holds true for the synergetic effects we can generate with certain formats. For example, Jerks Season 2 and Netflix original will now come or yesterday -- actually it will be also broadcast and aired on ProSieben MAXX and supports continues reach. And that in turn, enables and you can see this on the following page, our 360 degree sales approach. And for certain customers, this is really interesting because we can deliver TV, online, mobile, social print. We can work in the licensing segment and point-of-sales and retail with all our outlets and platforms and we cannot only do that, we’re doing that and that’s something that the customers value very highly with us. That’s why Q1 has seen a really good start. On Page 15, as mentioned in the regular summary and the overview, you can see here netID, our single sign-on platform is legally established. We will launch this platform this summer. What our key objectives here? Obviously, we want to have a single sign-on platform that’s very reach-oriented, and by that, will be very convenient and very transparent in terms of privacy management for users. It will also from our point of view, will be the key enabler for future ready data strategy. It will be compliance with the upcoming GDPR regulation. And it will also by the way, make us more independent of these GDPR and potential future regulations, as we’ve active single sign-on, active opt-ins by the participants or by the users that sign up through netID and they will have huge access outside of any graphs of Facebook and Amazon and what have you, to all the products that we’re offering, that United Internet is offering, we have outlets at RTL, it's offering as well an underlying potential of future partners of course, so that's an important step going forward. Turning to Page 16, a quick glance on our distribution business. You can see here the HD subscription development, very well on track. I think we said that also in our Annual Press Conference to reach our 9.2 million subscriber target as per end of 2018. So I said earlier, a very stable non-cyclical growth business that nicely adds up to a bottom line with every subscriber that we add. I just would like to point out two new deals that we did in Q1. A new deal with Diveo and a deal with freenet TV. Why would I like to point these out because these are new HD marketing platforms for the satellite population. And as you know, satellite has so far since the start of HD in 2010 only been catered to by HD Plus. So what does this mean, we will see competition in the largest household population in Germany and we think and hold and are confident that they will gain traction fast and we will see an increase in HD subscriber take up this year. Page 17, I will not stop for too long. Just again, we have shown this in recent calls, I think a couple of times, that we’re on all relevant platforms with all the features that customers, the users, the viewers today would like to have traditional platforms, but also as you can see on the right hand side, we’re present on all relevant over-the-top platforms. On this next Page 18, jumping to Red Arrow Studios, you can see that we have given our global content distribution business a significant boost by acquiring Gravitas Ventures, a global distribution sales entity that we acquired in the U.S. They’re adding 3,300 titles that -- into our sales catalog and that’s basically a factor of four as compared to our situation before the acquisition. They also adds more than 140 customers to the sales portfolio and this is really something that will put Red Arrow Studios International into a new realm, and push us -- our business on this app. On Page 19, let's jump to NuCom Group, as you’ve seen and as you can see here, we’ve now closed transaction with our growth partner General Atlantic. We will continue to consolidate and control NuCom by holding 74.9%; General Atlantic came in with 25.1%. And I would also like to point out that this was not really just one transaction, but essentially factor of four transactions that we did. Thanks at this point also to the team, because that was really a lot of work. We have essentially bought out all relevant minorities at ParshipElite Group, Verivox, billiger-mietwagen and Amorelie. So we really cleaned up the setup of NuCom as we -- now having closed this transaction can really focus on growing the business organically, but also together with General Atlantic really speed up and boost on the inorganic growth path with further acquisitions coming up. Operationally, we’ve started very strong into 2018, partial testing and excellent development of registrations and new subscribers. And I would like to point out that this is also significantly driven by upgrades and development and reaching out more into the mobile realm. So that’s really an expansion performance that the entity is showing. Amorelie, a very strong development of B2C sales and Flaconi also continuing with dynamic sales performances. They strongly focus on marketing and that’s a perfect example of our playbook of cross-fertilization between TV and commerce and online vice versa. Almost closing with my part of the presentation, I would really like you to take away three things. Our three pillar strategy is implemented. It's working in full force, three pure plays where we really have shown, for example, in terms of crystallizing new value, but we also can show stronger focus and more efficient growth across the board. I am very happy to say that TV is showing a solid performance in Q1. Our core TV business is there to deliver and we are also very well positioned in our non-TV businesses. So I’m closing my part of the presentation with confirming our financial outlook. Group revenues will continue to grow on a low to mid single-digit basis, adjusted EBITDA margin will be in its mid -- in the mid 20%, adjusted net income will be at 50% conversion adjusted EBITDA to net income. Our financial leverage [indiscernible] will continue to be between 1.5x and 2.5x and our dividend payout ratio and that’s what we will propose to the AGM next week, will stay and will go into more detail in the 80% to 90% range. And with this, I thank you for your attention. I would like to hand over to Jan.
Jan Kemper: Thank you, Conrad, and also good morning from my side. Let me continue with a closer look at the financial performance of the group in the first quarter of the year and give you some more details regarding the performance of our three new segments. So Page 4 -- 24 summarizes our key financial topics in the first quarter. On the revenue side and earning side, and as well in terms of our financial leverage. Thanks to a solid start of our entertainment and commerce operations. We achieved portfolio and currency adjusted group revenue growth of 1%. This development was in particular, driven by our TV advertisement and distribution business as well as our key commerce assets. In the Content Production & Global Sales, we were operating in a still more demanding market environment combined with some FX headwinds, which led to revenue decline in the segment. Despite this, the Group was able to achieve a very satisfying earnings performance both in terms of adjusted EBITDA and adjusted net income predominantly as a result of efficient cost management. As a result and due to a healthy free cash flow generation, our financial leverage declined to 1.5x net financial debt to adjusted EBITDA at the end of the quarter. With this development, we also reached the low-end of our financial leverage target range, which gives us sufficient financial headroom to execute on our M&A deal pipeline. Let's now have a closer look how that translates into the numbers. As indicated earlier, our Group revenues and earnings are temporarily affected by the deconsolidation of Etraveli and COMVEL, which is our former package tour business, as well as adverse currency effects mainly in our Red Arrow Studio segments, which were only partly compensated by first time consolidation benefits. In Q1 2018, this led to a decline in reported revenues by 3%. On a portfolio and currency adjusted basis, Group revenue growth was at 1%. Due to an efficient program cost management and reduced other operating expenses, both adjusted EBITDA and adjusted net income increased in the mid single-digit percentage range. Please note that adjusted EBITDA partly benefited from IFRS 16 implementation. However, positive IFRS effect, negative currency and M&A effect are literally awash on EBITDA level. In terms of adjusted net income, IFRS 16 did not have a positive impact. Let me continue with the review of our segment performance on the next page. Looking at our three segments, entertainment revenues increased by 2% to EUR624 million. At the same time, revenues of both content production and global sales and commerce declined by 13% and 14%, respectively. Let's now dig a bit deeper in order to understand the factors behind that. On Page 27, you can see that overall entertainment revenues were up 2% in the first quarter, which is -- within this, advertising revenues remain about flat, which is a result of two somewhat a closing [ph] development, a positive TV advertising revenue growth at around 2.5%, as well as an offsetting performance mainly of SevenVentures, but also softer AdVoD business. Distribution revenues again, increased dynamically by 14% helped by HD and certain new products. In addition to that, other revenues, which comprise our program sales, Pay VoD and Advertising Platform Solution showed solid double-digit revenue growth. In terms of profitability, adjusted EBITDA increased notably by 15% due to a combination of TV advertisement, distribution and internal revenue growth as well as good cost control, lower programming of cost and the benefit of IFRS 16. Let me now continue with the review of our Content segment. External revenues of the segment declined by 13% to slightly less than EUR100 million in the first quarter, while organic segment revenue development was also negative. Reported revenues have been meaningfully affected by a weakening U.S. dollar, which was about 15% versus the euro quarter-over-quarter. Revenues from our content production declined by 32%, mainly owing to an overall higher production volatility and phasing. Given our existing production pipeline, we expect the business to return to growth in the second half of the year. The increase in global sales revenues can largely be attributed to the first time consolidation of Gravitas Ventures, and in terms of segment profitability, the operating margin remained about stable. However, due to the revenue performance, adjusted EBITDA declined by 8%, although as you can see on the low absolute basis. Let's now move to commerce. The segment revenues were down 14% due to the deconsolidation of Etraveli and our former package tour business [indiscernible], which was only partly offset by the first time consolidation of Jochen Schweizer. Excluding these effects, the commerce segment had a solid organic revenue performance in the high single-digit range, primarily driven as Conrad mentioned by the assets -- by assets such as Parship, Flaconi and Amorelie. Adjusted EBITDA was below prior year levels, which reflects two developments. First, the aforementioned deconsolidation in the -- deconsolidation effect in the amount of more than EUR10 million. As a result, this implies prior year like-for-like comparable for the segment of about EUR15 million adjusted EBITDA. Second, profits were affected by the already announced implementation of new media contract between our TV ad sales on SevenOne Media with an equivalent positive impact and entertainment. This being said, the operating margin would have been broadly stable on a like-for-like basis. Let's move to the next page with an overview of our financial net debt and leverage. Here as you can see, we continue to benefit from our strong balance sheet and at the end of March 2018, the Group had a financial leverage of 1.5x net financial debt to adjusted EBITDA, which provides us with sufficient M&A firepower, which we intend to use in the next couple of months. Please note that our IFRS net debt definition does not include EUR167 million of financial lease liabilities as detailed [ph] footnoted on that page. Free cash flow before M&A reached a strong level of more than EUR500 million in the past 12 months. And please note that our free cash flow in the rest of the year is expected to be negatively affected by a meaningful amount of severance payments and other reorganization expenses as mentioned at our Capital Markets Day end of last year. We expect this to turn into targeted EUR50 million net savings by 2020. Moving to Page 31, let's have a look at our 2017 dividend proposal. Given the increase of both adjusted net income as well as free cash flow, the Executive Board of ProSiebenSat.1 proposes a dividend per share in the amount of EUR1.93 to our shareholders. This is in line with our dividend policy and reflects a dividend payout ratio of slightly above 80%. The proposal will result in an expected total dividend payment of EUR 442 million, subject to Supervisory Board and AGM approval on May 16, as well as the number of treasury shares being held at that time. With this proposal, we will continue our strong dividend track record over the past few years. The dividend yield, based on the closing price at year-end 2017 amounts to 6.7%. As you might have noticed, we include the section on the quarterly adjusted EBITDA development in the outlook statement of our press release as we expect the phasing of program cost to normalize in 2018 after a deviating seasonality in the financial year 2017. More specifically, this return to normal seasonality will see program cost increase in Q2 and Q3 with an almost similar counterbalancing effect in the fourth quarter of the year. In combination, we are still remaining overall negative consolidation effects. We expect this to lead to a decrease of Group adjusted EBITDA, both in the second and also the third quarter of the year. This seasonality will have no impact on our adjusted EBITDA guidance on the full-year basis with our financial outlook remaining unchanged for adjusted EBITDA in the mid 20% range. This being said, I would like to reconfirm our financial outlook for 2018 on the next page. We continue to target a low to mid single-digit revenue growth on a full-year basis. This development reflects the before mentioned deconsolidation on currency effects and also takes the higher level of revenue growth in the second half of the year into account. Adjusted EBITDA margin is expected to be in the mid 20 percentage range. And last but not least, we continue to target an adjusted EBITDA to adjusted net income conversion of about 50%. Financial leverage target range and also our dividend payout ratio remain untouched. With this, I would like to open the Q&A session.
Operator: Thank you. [Operator Instructions] We will take our first question today from Laurie Davison from Deutsche Bank. Please go ahead.
Laurie Davison: Hi, guys. It's Laurie here from Deutsche. First question is just on the offsets, which you mentioned within the overall advertising figure from AdVoD and from SevenVentures. How do you expect -- the AdVoD as I understand, is the loss of the contract to spot one to Springer. SevenVentures is quite lumpy. Can you just talk about how you expect that to evolve for the full-year? Second question is, the weakness in content production. You’ve mentioned this division is under review. Any update on this review, and would you consider selling the Red Arrow business? Lastly, can we just get an -- some comment on advertising outlook for the second quarter and what you are seeing in terms of audience share over May? Thank you.
Conrad Albert: Laurie, I will take the last question maybe and Jan will focus on Red Arrow. And can also elaborate -- Jan, also on the -- your first offset question. Q2, TV outlook, well Q1 we’ve seen development in line with our expectations and that comprises by the way also somewhat weaker April due to the Easter phasing that has been this year part of Q1. But the we will also expect positive developments in May due to some pull forward effects ahead of the World Cup Soccer Championships. So, Q2 will most likely be in the neutral, but could also be slightly negative because that leads to your second question with regard to ratings development. World Cup, will -- that will happen in summer, will obviously lead to a little bit higher TV overall reach. But private television, and this is only broadcast on public television, will most likely not benefit from that too far. So it's kind of difficult to foresee the Q2 development. It will certainly as part of the usual seasonality pattern of quarters be softer to what extent, it's hard to say yet. With regard to your questions, the different components of our ad TV revenue, again I said core TV ad revenue was 2.5% above prior year, has seen a very solid performance. A little bit of a decline in the ventures and in online advertising, not only attributable to the loss of one specific contract, but generally, we’re seeing certain weaknesses in online advertising due to brand safety issues as for robot traffic and something that we can obviously potentially benefit from in our core business. Will we see a positive rebound here, we're working strongly on that and we’re also positive with all the 360 degree sales approaches that our very innovative sales team is deploying on an everyday basis. And, Jan, maybe you kind of elaborate to our strategic review with regards to Red Arrow.
Jan Kemper: Sure. As I said also at the full-year presentation, I mean, the strategic review is ongoing. So obviously, you will be the first to know once we’ve some information on that one. But until now, I can only reconfirm that the process is ongoing and we will let you know.
Laurie Davison: Okay. So just a quick follow-up. When you were speaking about the initial slightly negative result for the market or is that for your TV advertising year-on-year?
Jan Kemper: That’s what we are seeing for TV advertising, generally advertising on year-on-year comparison for Q2 potentially, right.
Laurie Davison: For the market [multiple speakers] …
Jan Kemper: No, no, that's for us. Yes.
Laurie Davison: The pricing, okay.
Operator: Thank you. Our next question comes from Adrien de Saint Hilaire from Bank of America.
Adrien de Saint Hilaire: Yes. Good morning, everyone, and thanks for taking the questions. I’ve got two of them. You mentioned your guidance for 2018 is repeated, but there's something which I’ve not seen in your presentation is for organic sales growth. I think you talked about mid single-digit increase before. So do you confirm that guidance? And then, the second question is around NuCom. Can we have [indiscernible] your Q1 organic sales growth? And I believe it's around flat. So if you can confirm this, why is it so weak and what is your outlook for the remaining of the year? Thank you.
Jan Kemper: Sure. First of all, with regards to the guidance slide, yes, we confirm that. Just wanted to make the slide look a bit cleaner, but we can confirm that the second part of the slide is also reconfirmed. With regards to the NuCom Group, that was a number of 7% growth, but it doesn’t change our outlook for the year. And if you recall, the mid-term guidance we gave out with 10% to 15% growth, that is also the [indiscernible] we target for this year. And please bear in mind that, especially our NuCom businesses are somewhat more skewed towards the second half of the year. Also, when you think about recent acquisitions we did, for example Jochen Schweizer also paying on the fourth quarter. So, overall, that has some seasonality effect here.
Adrien de Saint Hilaire: Thanks, Jan. And I just have just other quick follow-up for you. Can you tell us what’s the remaining impact in terms of Etraveli deconsolidation in terms of EBITDA for Q2, presumably because the business was sold in August last year?
Jan Kemper: Yes, I mean you can expect a similar impact as in Q1. So it's about 30 -- I think, not for ETI [ph], but let's say, taking the overall impact into account of deconsolidation and consolidation, so the aggregate would be somewhere between EUR30 million to EUR40 million on the revenue side and about EUR10 million plus on the EBITDA side.
Adrien de Saint Hilaire: Thanks very much.
Operator: Thank you. Our next question comes from Chris Johnen from HSBC.
Chris Johnen: Yes. Good morning, guys. Thanks for taking my questions. First, on the change in disclosure, I mean you regularly put out 50, 60 page slide packs on quarterly results, yet on the change here for your key advertising figure, there is no breakdown on the sort of bridge. What has changed? I mean, what was the thinking here? Why do you think that was a good idea? First question. Thanks.
Jan Kemper: Sure. I think -- I mean, first of all, when we look at the disclosure the company gave over the last two years plus, I think recently we took a step back and said, okay, let's reconsider and think what is an adequate set of numbers to guide on, first of all, not doing the guidance on market figures. And [indiscernible] really played out well in 2017 for us as you might recall. Second, coming up with a consistent set on the group level with the three KPIs respective to five KPIs, then coming up with the KPI set on the segment level, which we consistently report over the next quarter and quarter and quarter, which gives you all the opportunity to built the models. We are aware that there's also the necessities somewhat here and here, given a deep dive, a case study and [indiscernible] to give more disclosure on the development here and there of some of the assets. But I think overall, that is a framework we feel very comfortable with and overall we’re talking about 15, 15 plus KPIs and that is where we want to go forward.
Chris Johnen: Then related to that, I’ve seen that in commerce you no longer are providing sub segment guidance for style, health and beauty etcetera. I presume this is going to change their way. Maybe then -- I mean, you’ve put out quite a few guidances on individual assets and I am thinking double-digit revenue CAGR for WindStar, high single-digit for Parship, I could go on. How we are supposed to track whether or not you're on delivering on both figures? I guess a lot of people are nervous when they’re -- for example on the online price comparison site, reading below average growth, but there is no figure associated with that. Maybe you could comment on that?
Jan Kemper: Sure. I mean with regards to the NuCom Group, as we said when we announced the transaction with GA, obviously for the first time we’re now in a position to steer the overall NuCom Group as a portfolio. And that’s deliberately -- it means also taking the freedom here and there to let one specific asset grow a bit faster and then sacrifice a bit of margin on the other asset in order to literally optimize the portfolio overall. So not to strive for local optimum, but rather for operative optimum. I think the overall guidances we gave out, if I recall correctly, was at Capital Markets Day of 2016, that are obviously a broad range. You can use somewhat in order to roughly or take an indication where those businesses aim for. But in general, we want to see the business overall together with GA and that is why -- that is a revenue line and that is a bottom line we're looking at. I think here it makes sense somewhat to split into physical goods and digital goods. But overall -- and maybe also to add for sure here and there, we will dig a bit deeper and then give you also specific numbers here and there for some assets, but not on a regular basis.
Chris Johnen: Okay. And then on Verivox, I mean, how do you know that the below average growth is in the Q2 energy price related topics and that you’re not losing share to Check24?
Jan Kemper: Well, that is what we get out, obviously, out of the discussions we’ve here with the management team and looking at the pipe, we see where we're working on different elements here. So, first of all, yes developing the core vertical with regards to energy, but also taking more and more steps to diversify anything -- any more segments and scaling them and also -- actually the development is quite nice and going into the right direction. With regards to energy, at the moment we see some weakness in the market. But that is not something that makes us overly nervous because we’ve seen that also over the last couple of years here and there. We will sum it up at the end of the year.
Conrad Albert: If I may just briefly add to that. We are simply not in Q1 and switching season, especially in the energy segment and energy wholesale prices have been relatively stable, therefore there are no new tariffs. And so that’s more of a general energy market specific issue that should not differentiate us too much from our competitors.
Chris Johnen: Okay. So you don’t think you’ve lost share?
Conrad Albert: No.
Chris Johnen: Okay. Thank you.
Operator: Our next question comes from Julien Roch from Barclays. Please go ahead.
Julien Roch: Yes, good morning. Three questions. The first one is, you said 7% organic for NuCom or commerce. Can you give us organic in entertainment and content as well in percentage? That’s my first question. Could we get organic for Parship commerce lifestyle and online price comparison within NuCom? And then lastly, Jan, you said in an interview this morning that you’re targeting Q3 commerce acquisition in 2018, any more color you can give us on those acquisition? Thank you.
Jan Kemper: Well, first of all, as I said before, it's about reducing disclosure here a bit. So more than happy to give all the 7% as -- that was also a number we gave out in the past and I think it's important to understand whether business overall is going to especially in combination here with the deconsolidation effect, we talked about. We will not dig a lot deeper into organic and inorganic for the different segments. With regard to the NuCom Group, it's correct. As you know, we’ve a lot of cash at the moment at the balance sheet and we’re planning to deploy a major part of that in the course of 2018. And so especially on the NuCom Group side, that will translate into two to three transactions we'd target. As also pointed out at the full-year presentation, we will be looking at different angles, first of all, some potential assets in the European space where we say, okay, we’ve some cornerstone assets that reached a certain market penetration and also market share for them. It simply makes sense, some more to join forces and go international, but also as in the past, looking at additional verticals, we could add to the NuCom Group in order to -- for the benefit also from the TV -- capacity of the TV reach we’ve in order to make those businesses bigger.
Julien Roch: Okay. So -- I understand you don’t want to give any more disclosure by division, but can we at least get organic for the three main segments, you said 7% for NuCom, what was organic in entertainment and content to get to the 1% overall?
Jan Kemper: Sure. And that's compromise. For the Red Arrow Studios, it's -- there was probably a difference between organic and inorganic, and with regard to the entertainment piece, the growth was like-for-like around 1% plus.
Julien Roch: Okay. Thank you.
Operator: Our next question comes from Lisa Yang from Goldman Sachs.
Lisa Yang: Hi. Good morning. I have one follow-up question on the non-TV advertising revenue. So that was down 17% in Q1. I mean, do you expect this to be a further drag in the coming quarters? You’ve commented on Q1, but not on the outlook. The second question is on advertising in Q1. I think initially you said January and February would be very positive and you ended with 2.5. Is it because March was -- was it weaker than expected, and kind of what drove that? Can you also give us a guidance for the restructuring charges, I think with EUR68 million in Q1, so any color on -- for the full-year would be helpful. And lastly, I am just curious why you want to review Red -- why you want to potentially sell Red Arrow, given it could give you a little bit of a edge from a content perspective? Thank you.
Conrad Albert: Just -- Lisa, just starting with your last question, just not to have any misunderstandings here, we’re not looking at selling Red Arrow Studios or disposing off it. The other, it's more into the other direction for us, the access to IP. I think a stronger footprint to IP on a global basis remains a strategic important -- strategically important factor. We do constantly review our setups, our -- do we’ve the right ownership structure, should be bring in partners to boost growth or to, in this case, potentially increase access to IP beyond our current graph. We’re certainly not looking at the full disposal of Red Arrow Studios to make that very clear. As regards to your second question, advertising in Q1, no, we’ve actually seen a very solid development across the board in Q1. March has been somewhat impacted by [indiscernible] of course, but we are very confident across the first three months. But please also note, we will not -- we’re not going and we will not go -- going forward too much into monthly, let's say, observations and disclosures because that could lead to misperceptions now, because you’ve to see this in a more holistic way. You know that the bulk of our business is coming into the second half of the year. And therefore, let's look at it from a holistic picture. We started solidly into 2018, with a strong program in line up, very innovative sales force and so we are convinced that we’re maintaining, and will maintain our market leading position and advertising share going forward.
Jan Kemper: Yes. And then taking a [indiscernible] the third question here with regards to FUD or the development, the counterbalancing effect against the TV advertisement here, as quickly pointed out beforehand, so we have three main effects, right? So first of all, the loss of Sport 1 to Springer. The second one, coming -- seasonality effect coming out of the strong Q4, and then with some softness in the first quarter, and last but not least, also some ventures. And with regards to SevenVentures, you’ve to recall it's a contract-by-contract business, which -- there are some swings from quarter-to-quarter and we’ve the confidence here that, that some of the development we’ve also seen somewhat in the last couple of years will normalize over the course of the year and will end in good terms on that side. And [multiple speakers].
Lisa Yang: Okay. So you do expect a drop for the full-year?
Jan Kemper: Well, the Sport 1 client has obviously gone, so it is safe to assess who has to do a good job somewhat to get new ones on that side. With regards to the seasonality effect and also with regard to SevenVentures [indiscernible] as a softness in Q1, which will normalize over the course of the year.
Lisa Yang: And what's the full-year impact of the loss of Sports 1, please?
Jan Kemper: It's about EUR10 million.
Lisa Yang: Okay. Thank you.
Jan Kemper: And with regards to the restructuring charges, I mean due to accounting rules, somewhat we had to book at this amount at the moment. Please bear with me that at the moment, I cannot really provide you with a further breakdown of that because as we’re still in negotiation with our work council. I will have to give you an update somewhat in the next call.
Lisa Yang: Okay. Thank you.
Operator: Thank you. Our next question comes from Ian Whittaker from Liberum. Please go ahead.
Ian Whittaker: Thanks so much Two questions please. First of all, just want to pick up on the remark you said earlier in terms of your AdVoD revenues getting impacted by price of the concerns about brand safety. Surely one day you saw the strength of your sort of [indiscernible] for brand safety sort of in the environment unlike, some of the online platforms. Could you just sort of explain why that doesn’t seem to be the case and sort of what your conversations are with advertisers about that? Second of all, linking with that, just in terms of your integrated offering, obviously it's going very well, but sort of when you speak to advertiser or the media buys what’s the interest in actually buying integrated packages across TV online, sort of old platforms, and is it still very much segmented and do people have the TV budget and online budget and so on? And third question, just really sort of in terms of the full-year because the revenue -- totally the same here when you get monthly sort of -- of monthly ad trends, but just given how you’ve done in the first quarter, given any comments on Q2, flat maybe slightly negative advertising. Can you just give us a sort of overall view on how you think we should think about revenue progression throughout the year? Should we be thinking about, sort of a very strong rebound in Q2, Q3, Q4? Is there anything sort of you think will particularly drive that we should be aware of, I guess, just to give us greater confidence on that full-year revenue target?
Jan Kemper: All right. I will try to address all your questions. You are a little bit difficult to understand. Let me first point out that our -- the brand safety discussion doesn't affect our revenues, doesn't affect our TV revenues, and also not our AdVoD advertising revenues. Conversations with advertisers across the board, obviously you can see that by recent announcements, but not only agencies but our bigger customers are that, in digital and online you’ve issues like, ad blocking of issues like, a robot traffic, you have issues like ad clattering, all that is something that our core medium TV obviously doesn't have the problems. So some of the big customers are -- have been shifting back to more -- towards more reach driven medium like television that's good for us. We’ve all -- not just the trust debates around Facebook and what that means also for the brand environment that you need on those platforms, all this obviously could bring certain rebound or a more again truth versus myth based decision making process when it comes to media booking [ph]. As to your second question interested in buying [indiscernible] packages, that’s -- and we’re talking about innovative products that are in our -- sales base have not been around for too long. We certainly see us as leading the pack in terms of innovation offering, stuff like that. There is interest out there and that’s with numbers of course, it's still small, but it has huge potential. And as we’ve shown in our Annual Press Conference, we expect until 2022 to have a market increase by 3.5x up to overall market volume of EUR28.5 billion as compared to the current EUR8 billion of traffic video and -- or a TV and [indiscernible] for us. And a lot of that comes obviously from addressability and being able to target better, and to offer our customers the opportunity to really play out their advertising, and by that advertising money to where they want to see it on the environment they want to have. Again, as regards to ad trends, I'd say for H1 seeing the good growth in TV advertising in Q1, depending on the development in Q2, we look at being on prior year's level. And as you rightly pointed out, it -- and as I pointed out earlier, depends on how it all comes in with certain seasonality effects. We’ve this Soccer World Cup and other things could also be slightly negative, but again, let's also look at Q3 and Q4 where we usually see a balancing out, also given the commitments and media agency contract structures that we’ve in our market, and that’s obviously always a reassuring factor for us.
Ian Whittaker: Okay. Thanks. And hopefully, you can understand the follow-up. Just coming back to the first question, I think the -- sort of the point was more, your AdVoD revenues were down in Q1 and you said that was due to advertisers being concern about online brand safety and so forth. So just wondering why your -- sort of you in particular, your AdVoD revenues will be down because presumably, one of the strengths of the TV broadcasters in VoD is to say that you can offer brand safety -- a brand safe environment, unlike other online platforms?
Conrad Albert: Right. And that’s why -- and maybe you’re misunderstanding. Our AdVoD revenues are not impacted by brand safety issues, that’s what I would say. General performance issue with regard to potentially certain clients that where we'd expect also from us and our teams to have a -- to see a rebound and recovery acquisition of new revenues. But we've certainly -- on AdVoD we don’t suffer any brand safety issues. I’ve not seen any cancellation based on that.
Ian Whittaker: Thank you.
Operator: Thank you. Our next question comes from Conor O'Shea from Kepler Cheuvreux. Please go ahead.
Conor O'Shea: Yes, thank you. Thank you for taking my questions. Just a couple of questions, couple of follow-ups from previous questions. The first question just on the AdVoD revenues in the first quarter. I wonder if you could -- maybe you’ve missed this in your comments, the percentage decline year-on-year in the first quarter, that would be useful to know. And, secondly, you mentioned that the entertainment activity had benefited from IFRS 16, the EBITDA. I kind of wonder could you give us an idea by how much that benefited? And then the third question, if you -- can you give us an idea of the revenues and EBITDA full-year 2017 of Etraveli and your [indiscernible]? Thank you.
Jan Kemper: Sure. Let me start with the entertainment effect. So that was EUR7 million with regards to IFRS 16.
Conor O'Shea: Okay.
Jan Kemper: And with regards to the FUD [ph] as said, that’s not a specific number we are going to disclose under the new grid. With regards to the revenues and EBITDA of ETI, I think for 2018 we had planned and communicated the last time EUR220 million in revenues and about EUR55 million in EBITDA. And with regard to Schweitzer, let me have a quick look one sec. Let's continue with another question, I will come back and give you the number. I have to just get it. One sec.
Conor O'Shea: Okay. And [indiscernible] if you just clarified -- just in answer to the previous question, I think -- if I understood properly, the reference to potentially flat advertising revenues, I think it was full-year, depending on Q3, Q4. Is that TV advertising or does that include all advertising in the entertainment division?
Jan Kemper: Sorry, that was difficult to understand. Could you just …?
Conor O'Shea: Sorry, yes. I think in reference to one of the answers to the previous question, was looking forward on a full-year basis that advertising would be -- could be around on a similar level to 2017. I just wanted to clarify, if you were referring to TV advertising or advertising revenues in the entertainment division?
Conrad Albert: That one was TV advertisement.
Conor O'Shea: TV advertisement, okay.
Jan Kemper: With regards to Jochen Schweitzer, we were talking about EUR30 million in top line and about EUR3 million in bottom line.
Conor O'Shea: Okay, great. Many thanks.
Operator: Thank you. Our next question comes from Sarah Simon from Berenberg Bank. Please go ahead.
Sarah Simon: Yes, sorry, just a couple of follow-ups. Just back on TV advertising, when you said flat, was that guidance for the year or were you talking about the first half in terms of slightly down Q2 and obviously up during half in Q1? That was the first one. And the second question, with the distribution revenues in the increasing competition, do you expect that to increase the growth rate in the distribution revenues, and I guess, once those deals become effective for your second half and into next year? Thanks.
Jan Kemper: Yes, let me take the first one. So with regards to TV advertisement, maybe two steps. One, step back and give a bit more clarity. So what Conrad mentioned was that we had a strong first quarter with 2.5% growth and with our planned seasonality and when we look at the second quarter with Easter being part of the first quarter and also the World Cup coming up somewhat in June, when looking at the seasonality, we rather expect a weaker Q2 which might lead to a flat H1 overall. And then obviously, it highly depends on the outcome of Q3 and Q4 and with respect to commitments coming in, how the overall yield will turn out. And we will give you further clarity then in the next call. Maybe [multiple speakers].
Sarah Simon: So there was not a guidance that’s flat, full-year was flat in the first half is your best case at the moment, your working assumption?
Jan Kemper: Exactly.
Sarah Simon: Yes. Okay, thanks.
Conrad Albert: And Sarah, with regards to your second question, it probably is a little bit too early to say or to assess the impact of these new competitors and the satellite population where have they just recently soft launched in April. So hopefully, we will be able to give more color in our Q2 call or later in the year. We’ve seen a certain slump, I should say, in the satellite HD population pick up. So that’s being compensated and hopefully over compensated. But again, too early to say at this point because they’re just starting to go out there into the market.
Sarah Simon: Great. Thank you.
Operator: Thank you. Our next question comes from Richard Eary from UBS.
Richard Eary: Yes, good morning. I just had a couple of questions. Just going back to the revenue guidance, I'm just listening to what you said with regard to flat H1 for TV advertising, we’ve lost obviously a contract with Sport 1, with AdVoD and that business remains weak. We’ve got weakness essentially at Verivox, we've got headwinds within Red Arrow. I’m just a little bit confused in terms of how you expect to get that mid -- low mid single-digit reported revenue growth for the full-year? And that means quite a strong Q3, Q4 and bear in mind that Q4 was actually quite a good number for you on TV now, and Q3 is still going be cycling the impacts of the partners in the World Cup. So I’m just a little bit confused in terms of actually how you get to your guidance for the full-year and I just wondered whether you can just elaborate on that a little bit more? That’s the first question. The second question just on programming, there was a slide in there that talked about obviously the seasonality of that. Just can you explain what your guidance is for the full-year in programming costs, and also why we’ve got a big step up in programming costs in Q3 and Q2, when audience numbers are likely to be down based on what we’ve seen historically around sport events? So yes, if you can just elaborate on those two, that would be helpful.
Jan Kemper: Sure. First, with regards to revenue guidance, I mean, when we look at the entertainment business, you picked out one or two factors right, but overall, I mean, the entertainment business grew by 2% in the first quarter. And looking at the year, I mean there's something well -- somewhat in the range we also gave out at our Capital Markets Day, somewhat last year where we could see the business overall. So that’s at least from our point of view at the moment nothing to be worried about. Yes, there was a certain weakness in the first quarter, but as commented on Verivox, as Conrad pointed out, at the same time, we had an over-performance with regards to Parship, Amorelie and Flaconi. With some counterbalancing effect and looking at the portfolio overall as it stands, we see or like we anticipate also a strong second half of the year on that side. Red Arrow Studios is supposed, I mean, to bounce back in the second half of the year, coming back to revenue growth looking at the development slide at the moment. And overall, when you look at the development of the quarter, as such as the business stands there's always a certain natural skewness towards the second half of the year in Q4. So that will be, I mean, from our perspective, something that will come somewhat naturally and also gives us confidence here to be in the call and to reconfirm our guidance for the year. With regard to the specific slide, we entered into the presentation, as you know, we always had a certain flexibility when it comes to program costs and we react from TV advertisement environment out there. And if you recall in Q2 last year, we had somewhat soft start in April and also in May and just took the conscious decision somewhat to spend less on the content side. And in the fourth quarter actually, we spent a lot based on the very strong TV advertisement development and on the high note that is also something you can see now resulting in a very strong performance of the grids with regards to [indiscernible] in the first quarter and also thereafter. So in 2018, that somewhat swings back. We expect year-over-year as a first impact like a mid to high single-digit increase with regards to proven costs in the second quarter. And that combined with the deconsolidation effect that was simply the two points we wanted to flag in this call, also to give you the respective information to modulate in -- yes, to put it into your models. With regards to the overall increase, we stick to the guidance we also gave out in the past. We want to increase like the program spend some of the line with revenue growth, both on the linear and digital side. And that is also something I can reconfirm here.
Richard Eary: Thanks. Can I just ask a follow-up just on Red Arrow. What was the FX headwind in terms of magnitude of number in the first quarter? And can you just expand on the development slate slightly you expect to come through in sort of the second half?
Jan Kemper: Sure. The FX effect was about EUR13 million in the first quarter. And with regards to the development slates, it's obviously something we’re looking at very closely along the way, and hopefully over the next couple of days. We will be also be able to give the first positive signal with regards to the development at the second half. But overall, it's like taking one step back here, looking at the businesses, obviously something you start into the year with blank sheets and then progress along the way and get more and more clarity also what we realize -- what we can realize in Q3 and Q4 and looking at the sheet at the moment that gives us a comfort actually to anticipate a swing back in the second half of the year.
Richard Eary: When you say swing back, was the magnitude of the swing back -- I mean is it double-digit earnings growth, double-digit revenue growth?
Jan Kemper: Yes.
Richard Eary: Thank you.
Operator: Thank you. Our next question comes from Catherine O' Neill from Citi. Please go ahead.
Catherine O'Neill: Hi. Just wondered if you could elaborate on the phasing of the cost savings. I know you can't give much detail of the restructuring, but how are you thinking about the phasing of the cost savings and you -- the new CEO will be joining next month, what do you expect him to bring to the group? Are there any -- you really have not detailed on what drove the appointment of the new CEO in particular?
Conrad Albert: Catherine, obviously, I’d like to elaborate on your last question. Max is joining as you say on June 1, we’re very much looking forward to that. What does Max brings to the table, as far as we can say and we’ve -- I’ve spent a lot of time with him and my colleagues as well over the last days and weeks. Max is absolutely a consumer viewer user driven guy, he will bring to the table a really market and consumer-centric approach and that in combination with, let's say, our expertise in the business, it should and could be really a wonderful amalgamation. So we’re really looking forward to him in joining the Board. Obviously, all questions about the rationale of his appointment should naturally have to be addressed to our Supervisory Board because they’re the ones that took the decision and appointed Max. But from -- let's say, from the operational ground here from the executive point of view, we can really say that we’re positive about this addition to us, to this new leadership and we will work very closely in a very team based approach with him bringing the best together of us and our know-how and what Max is bringing from the outside world. He's having a tremendous track record of really converting his former company where he was having as former [ph] position in Dyson and to a company that’s extremely successful in the digital world. And obviously, I think these are -- those are pretty very good prerequisites for him in our half year [indiscernible] continuing to be the leader in media and all markets and then also on the digital world.
Jan Kemper: Yes, and with regards to your first question, so the phasing of the cost saving, that is obviously highly dependent on the outcome of the negotiations for the Work Council at the moment. So we’re in negotiations and as soon as they’re finished we can get into implementation and so still hopeful in somewhat Q3 to get going. And then the phasing of the cost savings will follow accordingly.
Catherine O'Neill: Okay. Thanks. Can I just, sorry to get back -- on the TV advertising point, in terms of -- it should benefit from more of visitors' concerns around online and potentially I guess rate [ph] regulation coming down the pipe. I just wanted to understand why you don’t think TV has rebounded more and how was your performance in the third quarter, how did it compare to the market, in line or outperforming?
Conrad Albert: This is Conrad. We do not provide general market guidance on competitors. We've seen a strong and I repeat that a solid performance in Q1. Also here, it's -- I think it's a little too early to say how restrictive regulations and so for us, like GDPR will convert into revenue development on our side because it hasn’t even come into place. The only thing that we really see in our day-to-day discussions with agencies, with customers out there is that TV as a medium delivers you the highest return on investment on euro. You know what you're getting, you really have a very serious again, brand safe environment and all the question marks that are out there in the market with regard to digital advertising, these are questions that we for our core medium TV don't have to discuss and that’s positive. And that’s why people are saying marketing CEOs or heads of marketing we get from CGs, maybe we've gone targeted -- targeting too much or we’ve gone online too much and we should go back more into TV. That -- it took us 2 weeks to generate the same reach that we can have in a day of TV and online.
Catherine O'Neill: Okay. But -- so why don’t you think TV has rebounded more then, over -- rebound more than 80% in the first half of the year?
Conrad Albert: Again, we shouldn’t take a short-term view on that. That doesn't -- just as through how this business is working, you should see that in overall perspective. I can tell you that our commitments on a year-to-year by date comparison are higher. The agency commitments are a mid single percentage point higher than in the previous year. So if that could be an indication, let's have that be an indication. But let's regroup and look at the whole year, especially again, marketing due to seasonality, our business is very much Q3 and Q4 driven.
Catherine O'Neill: Okay, great. Thank you.
Operator: Thank you. Our final question today comes from Patrick Wellington from Morgan Stanley.
Patrick Wellington: Yes. Good morning, everybody. Two questions, the first one, General Atlantic, the deal with NuCom was completed in April. Did we ever find out exactly how much they paid for their 25.1% stake. There may have been a press release, I may have missed it, but what was the figure? And second point, going back to commitments, last year commitments turned out to be very important. But it was even -- it was confident all year along that advertisers would deliver on their commitments and they did in the fourth quarter. We just had the commitment season and I think you just told Catherine that commitments are up 5% year-on-year. So can you tell us a bit more about the level of commitments this year, how are you feeling about them? Is the 5% a good number?
Conrad Albert: I don't recall having said 5% actually, I've said that commitments are above prior year level in a single-digit number, I didn't say 5%. Let me say they’re above prior year in single-digit number and a lower single-digit number. But we’ve not disclosed the specifics here. But that makes us very confident by the way with regard to what you just said, commitment levels, how is the year evolving, how well Q4 come in and Q3.
Jan Kemper: And with regards to the GA number, as also communicated in the -- I guess, in the last time we met, it's around EUR300 million.
Patrick Wellington: That’s great.
Jan Kemper: I also mentioned in the report, I guess on Page 42, so the exact number is EUR286 million.
Patrick Wellington: Great. Thanks.
Operator: Thank you.
Conrad Albert: Okay, ladies and gentlemen. This was our last question for today. As always, the Investor Relations team will be ready and available for your follow-up questions. With this, I thank you and wish you a good day. Bye, bye.